Operator: Welcome to the Fourth Quarter 2018 Service Corporation International Earnings Conference Call. My name is Sophia, and I will be your operator for today's call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. [Operator Instructions] Please note that this conference is being recorded. I will now turn the call over to SCI management. You may now begin.
Debbie Young: Good morning to the SCI call. Thanks for joining us as we discuss our fourth quarter and our year-end results. As usual, I'm going to go through the customary Safe Harbor language before we begin with prepared remarks from the quarter from Tom and Eric. The comments made by our management team today will include statements that are not historical and are forward-looking. These statements are subject to risks and uncertainties that could cause actual results to differ materially from our expectations and projections. These risks and uncertainties include, but are not limited to those factors identified in our press release and in our filings with the SEC that are available on our Web site. In today's comment we may also refer to certain non-GAAP measurements such as adjusted EPS, adjusted operating cash flow, and free cash flow. A reconciliation of these measurements to the appropriate measures calculated in accordance with GAAP is provided on our Web site and in our press release and 8-K that were filed yesterday or early this morning actually. All right, with that over with, I'll now turn the call over to Tom Ryan, SCI's Chairman and CEO.
Tom Ryan: Thanks, Debbie. Hello everyone, and thank you for joining us on the call this morning. Today, I would like to start by reflecting on the full-year of 2018. Then I'll get into the analysis of the fourth quarter and end with some color on our outlook for 2019. So first, some observations looking back at the year 2018, for the full-year, we were proud to report double-digit percentage growth in adjusted earnings per share and adjusted operating cash flow. The $1.79 we reported in adjusted earnings per share was a $0.24 or more than 15% improvement over 2017. Solid revenue increases, particularly in the Cemetery segment were somewhat offset operationally by higher salaries and wages from intentional adjustments made at the beginning of the year, as well as from higher self-insured health and general liability costs that were not anticipated. These increased costs impacted both business segments, as well as general and administrative expenses. In total, operations including the overhead burden contributed $0.11 to the $0.24 earnings per share improvement. Increased debt levels from acquisition funding and higher average variable rates tied to LIBOR led to higher interest expense for the year that effectively offset the favorable impact from lower average share count. So, the remaining $0.13 in earnings per share improvement for the year was from a favorable tax rate, which was primarily due to the lower federal rate from the 2017 Tax Act, as well as favorable state tax result. Comparable funeral segment operating profits for the year were over $369 million, a decrease of $3.6 million as compared to the prior year. The funeral operating margin percentage was within our guidance range at 19.9%, down by 50 basis points. For the second straight year, we saw comparable funeral volumes growth, while average revenue per case was relatively flat. We experienced a 1% inflationary growth at the customer level, which was offset by the negative effect on the average from a 140 basis point increase in the cremation volume mix. For the year, SCI direct sales production grew in the high single-digit percentage, but a change in how we allocate price at the contract level from a recognizable administrative fee to deferred service revenue resulted in a temporary year-over-year decline in reported revenues and profits. Comparable cemetery profits for the year improved by over $36 million, and we expanded the operating margin percentage by 170 basis points above our guidance range to 30.4%. We experienced solid revenue growth of 4.3% for the year, primarily driven by the success of our pre-need efforts. A solid double-digit percentage increase in other revenue, which is primarily very high margin perpetual care trust fund income, had a more pronounced impact on reported margin percentage. This solid operational performance and the resulting $610 million of adjusted operating cash flow not only funded our over $200 million of maintenance CapEx for our locations in cemetery inventory development, was funded almost $195 million of purchase price, acquiring 35 new locations across several transactions and geographies. Additionally, we spent another $32 million on constructing new funeral homes, which have a slightly longer cash payback, but have the benefit of ideal location and an updated new facility, which should provide a nice trend of growth going forward. Even after this significant increase in growth capital investment for the year that I just mentioned, we were able to return more than $400 million to our shareholders in the form of share repurchases and dividend, a 30% increase over 2017. We delivered these results, while at the same time making strategic investments in our digital platforms, our customer experience and engagement, and most of all, in our people. Recall that we've previously mentioned the implementation of Beacon, our new tablet-based pre-arrangement tool that provides a seamless digitized presentation for our client families, or reducing the administrative burden for our sales counselors. It's exciting to see how this platform is beginning to yield more effective and productive sales force. And years then we have rolled out Beacon for pre-arranged funeral sales to approximately 75% of our core funeral locations. There's a real upside opportunity early in 2019 as we achieved deeper penetration into these markets that were rolled out over the latter half of 2018. Currently, we are supporting that uptake opportunity in the newly-implemented markets and are now in the process of rolling Beacon into the Vancouver market. Then later in the second quarter, we plan to turn our primary attention and resources to the implementation of Beacon in our cemetery location. Cemetery is a more complex implementation, so the funeral earnings are crucial to successful cemetery implementation. We should begin to roll into certain markets in the latter half of 2019 and would anticipate a meaningful impact in 2020. Also during 2018, we did a complete overhaul of the look and feel of our location Web site, dignitymemorial.com. These newly redesigned Web site have helped us to reach an all-time high and web traffic to the Dignity Memorial site with over 96 million visitors and a 21% increase in traffic year-over-year. In 2018, our new Web sites produced a record number of Web site creating leads in any customer interaction. This positive trend has continued into 2019. Additionally, we've invested in resources and technology to drive improvement and visibility in our location online reputation rate as well as generating consumer demand through digital marketing campaigns. We are continuing to invest in 2019 and we believe this will provide significantly more leads at a much lower average price today and also may result in increase in our market share and enhanced sales activity. Finally, we have made significant investments in our people. Earlier in the year, we made strategic adjustments in compensation for key customer-facing employees. We have incrementally invested in training and development, specifically around initiative dealing with broader inclusion and diversity training as well as leadership training. I feel really good about the momentum of our team. Now for an overview of the fourth quarter, as you saw in our press release yesterday, adjusted earnings per share grew $0.04 or 8% to $0.54 per share compared to the same period last year. We knew this would be a challenging comparable quarter on the operational earnings per share fund for two primary reasons. First, last year's quarter had the beginning of a flu season impact that would make funeral volume in comparison difficult. Next, while we're confident of pre-need cemetery sales production growth this quarter, we had almost $8 million of cemetery revenue recognition in the prior year quarter associated with completed relatively large construction projects in Vancouver. So, we knew our comparable cemetery revenue recognition rate to be a challenge. The good news on the operational side is the pre-need cemetery sales production was very strong, coming in with almost 12% growth. We were even able to overcome the lower recognition rate to grow profit and when combined with the profits from acquisition, they contributed almost $0.04 to earnings per share growth for the quarter. Profits were lower, as volumes were down over 1%, as we had anticipated. Unfortunately, the cremation rate increased 170 basis points putting downward pressure on the average. Increased cost from wages and self-insured healthcare expenses pushed further pressure on our funeral project. General and administrative expenses also increased, and were higher than we anticipated. As we increased the projected self-insured liabilities associated with general workman's comp and auto claims during the quarter. Additionally, we increased legal reserves associated with the legal settlement in the fourth quarter. The funeral profit decline and the increased general and administrative expense effectively offset the positive earnings per share growth of cemetery operations and acquisitions for the quarter. Finally, interest expense offset the favorable impact of lower average shares outstanding. So the quarter-over-quarter improvement was primarily attributable to a favorable tax rate at both the federal and state level. Now shifting to some more detail around the funeral operating performance for the fourth quarter. Comparable funeral revenue decreased $13 million or approximately 3% compared to the same period last year and fell short of our expectation. This decline is primarily attributable to a decrease of $11 million in our core revenue, but we saw an approximate 1.5% decline in both the volume and average revenue per case. While we anticipated the decline in volume due to the full forward impact of a strong flu season in late 2017, which continued into the early 2018 the decline in sales average, was higher than our expectations. The average revenue per case decline was despite a 70 basis point increase at the organic customer level as an unfavorable 180-basis-point increase in the core cremation mix and unfavorable currency effect and the negative fourth quarter market returns effect on trust income, more than overcame the slightly higher customer spend. I believe some of our increased cremation mix is attributable to us being more competitive for the price-sensitive cremation customer, which is a good thing. Additionally, our mix change rates are consistent with kind of trends that we're now seeing. Recognized pre-need revenues declined by $2.3 million in the quarter. This decline is a direct result of lower pre-need sales production during the quarter from our non-funeral home business Sales production during the quarter from our non-funeral home businesses. During the fourth quarter, we had some temporary disruptions in sales caused by an early 2019 transition of our SCI Direct sales team from independent contractors to onboarding them as employees. We expect the temporary disruption to continue during the first quarter of 2019, and stabilize early in the second quarter. Shifting to funeral profit, we experienced a decline in operating profit of $7.7 million and operating margins decreased to 110 basis points to 20.1%, primarily due to the revenue decline. Although we continue to see increases in labor costs, including higher healthcare expenses, we saw reductions in overall selling-related expenses, which helped to minimize the margin declines. Comparable pre-need funeral sales production decreased $4.2 million or 2.1% in the fourth quarter of 2018 compared to 2017. We experienced a double-digit decline in contracts written for our SCI Direct channel, which is primarily related to the temporary disruption of transitioning our counselors to employee status that I previously mentioned. For the core channel, we grew contracts sold slightly. We reduced the direct mail spent during the quarter as we transition to a new vendor, and our sales team focus was tilted towards cemetery sales activity, which contributed nicely to our fourth quarter earnings. For the full-year, we grew pre-need funeral sales production a solid 6.5% beyond our low single-digit percentage guidance. We believe this success was a direct result of the impact of our new beacon system, which assists our sales counselors in a more effective and efficient customer interaction. We believe we can continue to have a positive impact on 2019 sales activity. Now turning to our cemetery operations for the fourth quarter, we are very pleased with the fourth quarter pre-need sales performance. For the year, we guided a total pre-need cemetery sales production with land of the 4% to 6% rent. Because of the tough 2017 comp and the first-half of 2018, we communicated to you that a lot of the year-over-year growth, which is going come in the second-half of the year, while our sales team delivered. And it was able to grow pre-need cemetery sales for an impressive 12% in the fourth quarter, which resulted in a 4.3% increase for the year. So hats off to the entire sales organization. Now on the cemetery GAAP result, which you see in the income statement, total comparable cemetery revenue grew more than $12 million or almost 4% in the quarter. We experienced a $17 million or 7.5% increase in recognized pre-need revenue, which was a function of the strong production I referred to as well as higher merchandise and service delivery. Recall how we grew pre-need sales by 12%, so in the fourth quarter, we grew backlog production that should benefit the coming quarters as we construct the property recognizing revenue. Partially offsetting this recognized pre-need, revenue increase was a $4.5 million decrease in perpetual care trust fund income. It's important to note that for the full-year, our perpetual care trust fund earnings have increased an impressive $9.5 million or 15%, partially reflecting our initiative to shift trust fund assets to a total return strategy in states we're permitted. However, last year the incremental benefit of increased earnings associated with this strategy in excess income withdrawal opportunities was weighted to the fourth quarter. Therefore this is more of a timing issue for our fourth quarter comparison. From a profit perspective comparable cemetery operating profit grew about $3 million and nearly 3%. However, cemetery margins declined 30 basis points for the quarter. The margins from higher operating and sales driven revenues achieved were somewhat muted by the reduction of higher margin trust fund income coupled with higher labor and healthcare costs. Now, let's shift to discussion about 2019. Our guidance for adjusted earnings per share in 2019 is a $1.84 to $2.2 per share. At the midpoint of that range of $1.93 this represents an 8% increase over 2018 earnings per share. This projected increase is absorbing a higher effective tax rate just over 25% compared to the 23% adjusted effective tax rate we reported in 2019, which benefited from a favorable state tax grew ups. Therefore at the midpoint of our guidance pre-tax earnings per share growth is projecting an 11% increase before incurring the higher tax rate for 2019. We believe this increase will come in as it has historically with the organic business contributing 4% to 6% growth in earnings per share in contributions from recently acquired businesses as well as the effect of the 2018 and 2019 share buybacks, contributing an additional 4% to 6% of earnings per share growth. Allow me to briefly discuss the underlying assumptions regarding the base business growth for 2019. First, funeral revenue should grow around the flat to 2% range. We expect the first quarter volumes to be down as we've already seen in January, as it is comparing to a very robust 2018 quarter impacted by the heavy flu season. Based on history, we would expect the remaining three quarters to get back a significant portion of the activity. We expect the average revenue per funeral to continue to be challenging with cremation mix negatively impacting moderate inflationary price. We will manage cost aggressively. For comparative purposes, it should be tilted more to the back half of the year. And we anticipate margins for the year to be in the 20% or so range. Margins should contract in the first quarter and working back to positive comparisons in the latter nine months. We anticipate pre-need funeral sales production to grow in the mid-single digit percentage range for the year as Beacon should have a spillover effect into 2019. Next, we expect cemetery sales production and cemetery operating revenues to grow in the mid-single digit percentage range. Other revenue predominantly comprised of perpetual care trust fund income should be flat or grow moderately as a larger share of assets under our total return strategy gross income but it's somewhere strategy rose income, but is somewhat offset by lower excess income distributions based upon the fore financial market performance at the end of 2018. As we think about quarterly cadence we would expect very moderate cemetery profit growth particularly in the first-half of the year with a strong fourth quarter impacted by the completion of a number of constructive projects. We expect lower general and administrative expense as compared to 2018 with quarterly cost approximating $30 million to $35 million. And then finally, interest expense should be some $8 million to $10 million higher in 2019 as we have a higher average debt balance coupled with higher variable rates, which are tied to LIBOR. So to wrap it up, we'll continue to focus on driving revenue growth, leveraging our scale and deploying capital wisely to enhance shareholder value. I want to thank our entire team for their tremendous efforts and for making our client families our number one priority. Finally, I would like to acknowledge the tremendous contribution of our President and Chief Operating Officer Mike Webb, who is retiring at the end of March. For those of you that have been around for a while you know that 16 years ago, Mike and I were given the opportunity to develop a strategy and a team here at SCI. While we've made our fair share of mistakes along the way, I believe we've helped to develop a powerful company and team that we are blessed to be a part of a team that has delivered consistently over the years. There is not a person more responsible person for our success than Mike Webb. I'll truly miss my good friend. But as with most great leaders, Mike has left a legacy and a talented executive team that we have today. With that, I'll turn the call over to Eric.
Eric Tanzberger: Thanks, Tom. Good morning, everybody. Today I'd like to begin as I usually do by adjusting cash flow during the fourth quarter and then I'll like about our annual cash flow result and our capital deployment for 2018 which is a highlight for us, and finally provide some details for our outlook for 2019. So, as you saw in the yesterday's press release we reported strong adjusted operating cash flow of $164 million for the quarter which is an increase of $38 million or 30% over the prior year. This growth though was primarily driven by a decrease in cash taxes paid as positive working capital effectively offset the slight declines in EBITDA and higher interest payments quarter-over-quarter. Cash tax payments in the quarter were only $4 million compared to $45 million in the prior quarter. The prior year was affected by the timing of cash tax payments related to Hurricane Harvey. The current quarter also benefited from tax reform as well as tax planning efforts. Cash interest payments in the quarter were $67 million compared to $59 million in the prior year quarter. This increase is due to impacts from both higher debt balances as well as higher floating rates over the prior year period, while we are comfortable with our capital structure, we continue to evaluate our mix of floating versus fixed rate debt in the current interest environment and plan to manage accordingly. Lastly, as it relates to cash flow during the quarter we benefited by approximately $20 million of non-earnings, cash received mostly related proceeds from our trust funds that we're able to deploy towards our capital deployment programs in the fourth quarter. Maintenance and cemetery development CapEx for the quarter combined the two components that we defined as CapEx or our free cash flow calculation were approximately $59 million, which was $10 million lower than the prior year as in 2017 we spend about $6 million on the hurricane affected location. For the full-year, as Tom just mentioned, we generated $610 million in adjusted operating cash flows, an increase of $55 million or an impressive 10% over the prior year. This includes the $20 million of trust proceeds I just mentioned. So a better number of use is $590 million which puts us right near the midpoint of our 2018 guidance range of $575 million to $615 million. We disclosed last year and we benefited in 2017 by a similar amount of non-earnings related trust withdrawals. Therefore on a year-over-year basis these two $20 million working capital initiatives are effectively neutralized. So with this in mind the $55 million growth over prior year is primarily due to reduction of our cash tax payments of about $70 million, which is offset by cash interest due to the higher debt balances and interest rates we just discussed earlier. Sticking with this top of taxes the $60 million we've paid in 2018 is a bit lower than we've guided it on our last call to $75 million to $85 million, partly due to the tax planning efforts that I just previously mentioned. And as we look ahead to 2019 we are modeling cash taxes to increase by approximately $40 million which would total a $100 million which will be a significant headwind for cash flow in 2019. We do expect our tax team will continue work to identifying tax accounting method change opportunities to help reduce cash taxes as we did in 2018 and this good work has included in our 2019 cash tax estimates. Maintenance and cemetery development CapEx combined were approximately $204 million for 2018 which is a little higher than our target of $195 million. As we strive to remain relevant with our customers, we identify additional opportunities to invest in our facilities as well as customer-facing technology improvements, including our location websites. So deducting these recurring expenditures from adjusted cash flow, we calculated our free cash flow for the year at a healthy $406 million or a 30% increase over the prior year. So now let's discuss the highlight of the year, which is clearly our capital deployment. Our liquidity and strong cash generation enabled us to continue our capital deployment strategy with a focus on creating long-term value for our shareholders. Utilizing the $406 million of free cash flow generated that I just mentioned, in addition to utilizing some of our cash balance, debt issuance and divestiture proceeds, 2018 was a standout year as we deployed $628 million towards acquisitions, new location builds, dividends and share repurchases. This represents an impressive 56% increase over our 2017 deployment of capital of just over $400 million. Now let me walk you through the components of this. As Tom mentioned, it was just a great year for us in terms of acquisitions. We employed approximately a $195 million towards acquisitions, more than doubling the $81 million invested in the prior year, and significantly exceeding our target range of $50 million to $100 million. Acquisitions continue to be our best use of capital as they generally result in a mid-teen after tax cash IRR. We're fortunate to have a couple of large sized deals we executed in 2018 allowing us to extend our operations in several states in areas, including Hawaii, Indiana, Texas, and the Mid-Atlantic area among others. In addition to acquisitions, we invested $32 million in 2018 or 80% more than the $18 million spend in the prior year. On the new build and expansion of several funeral homes during the year, which we expect will provide positive returns to us going forward. The spend is going to develop our footprint in important markets, such as Texas, Florida, Colorado and California through the construction of new funeral homes, crematory operations and personal care centers. Dividend payments in 2018 totaled a $124 million. This is an increase of 14% over the prior year of $109 million. Going forward, we expect to continue increasing the dividend as the company's earnings grow as we target a payout ratio of 30% to 40% of normalized net income. Finally, we returned an impressive $278 million of capital to investors in 2013 in the form of share repurchases, which has resulted in the number of shares outstanding being reduced to just under a 181.5 million shares. We repurchased approximately 7.3 million shares at an average price of $37.78. Subsequent to yearend, we've continued this repurchase program, reduced our outstanding share count by an additional 200,000 shares for a total investment of just under $8 million. Now let's shift to our outlook for 2019 in terms of both cash flow and capital deployment. In our press release, we introduced our 2019 guidance range for adjusted operating cash flow excluding cash taxes of $650 million to $710 million dollars. When we include the $100 billion dollars that we're forecasting for cash taxes, our 2019 guidance range for adjusted operating cash flow is $550 million to $610 million. Beginning with a 2018 base of $590 million that I already mentioned in neutralizing for cash taxes of about $60 million in 2018 we have pre-tax adjusted operating cash flow of $650 million in 2018. Based on the midpoint of our earnings per share guidance range, we expect EBITDA in 2019 to grow by about $35 million, which we pressured somewhat by an expected increase in cash interest net interest incremental $30 million of operating cash flow growth in 2019. This brings our 2019 pre-tax adjusted operating cash flow expectation to $680 million which is at the midpoint of the pre-tax range we disclosed in the press release of $650 million to $710 million. Taken out of the 2019 expected cash taxes of a $100 million will be at around $580 million of adjusted operating cash flows which is the midpoint of our adjusted operating cash flow guidance range of $550 million to $610 million. So moving on to CapEx, our expectations for maintenance and cemetery development capital spend in 2019 is $195 million which is slightly lower than our 2018 spend. Of this total, we estimate probably $115 million will go towards maintenance capital and the remaining $80 million will go towards cemetery development spending as this capital continues to help drive superior returns for us. At the midpoint of our adjusted operating cash flow forecast guidance of $580 million and adjusted for these recurring capital expenditure items, we calculated our 2019 free cash flow to be estimated $385 million dollars. In addition to the anticipated recurring CapEx of a $195 million I just mentioned, we expect to deploy $75 million to $100 million in acquisitions and other growth initiatives including new funeral home construction opportunities which together drive mid-teen after tax IRRs returns for us. So to summarize, our capital deployment strategy for 2019, we'll expect to continue much of the same as you've seen from us. We follow a disciplined and balanced approach designed to yield the highest relative return. And of course this strategy is predicated on our stable free cash flow, our robust liquidity which was just over $770 million at the end of the year as well as favorable debt maturity profile. Additionally our leverage at the end of the year which is calculated is net debt to EBITDA in accordance with our credit facility remained the same as last quarter and right about 3.85 times. So in conclusion, 2018 was a good year for us as we're able to deploy more than $625 million in capital to drive total shareholder return and to grow our company. I echo Tom's comments and that none of this would have been possible without the hard work of our dedicated associates and we sincerely appreciate all of their efforts. With that, operator, that concludes our prepared remarks, we'll now open the call up to questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] And our first question comes from A.J. Rice from Credit Suisse.
A.J. Rice: Hi, everybody. A couple of questions if I could ask, first, the pickup you saw in the cremation rate in the fourth quarter, as you drill down, do you think that's a change in trend that seems to be an acceleration over the 50 basis point to 100 basis point pick up where -- you used to see?
Tom Ryan: Hey, A.J., this is Tom. Again, we don't have any exact measurement unfortunately, but I'd say this, if you look at the U.S. cremation rate in general, it's probably been growing around 150 basis points over the last, call it five years, and maybe even pretty consistently. If you look at SCI's business, we probably were closer to 100 until we stepped into 2018. So, while there may be a little bit of a shift from a consumer perspective, we actually think a lot of this may have a little to do with our efforts to capture cremation consumers, whether that be through the SCI direct model, whether that be through some pricing change implementation in certain markets, where we're more competitive for that, I'd say, price sensitive cremation consumer, or whether it be through our digital efforts that now through the Web site and search engine marketing that we're beginning to capture a larger share of what I'll call it again price conscious direct cremation consumers. So I kind of view this as a positive thing. Unfortunately, it translates into an average that doesn't look so great, but the truth is we're getting more business than we wouldn't have gotten. We like that. So yes, I don't see anything yet that tells me there's a definite shift in the overall numbers of those consumers.
A.J. Rice: And would you say you've reflected that and then in your 2019 outlook a little higher conversion of cremation?
Tom Ryan: Yes, I think we have. So we're going to go forward, believing that these are the types of levels that it could grow at, again it could moderate again, I don't want to predict the future, but we believe that will continue because we'll continue to compete more effectively particularly for that consumer.
A.J. Rice: Okay. Eric's comments around the impact of soft market particularly in the fourth quarter of December, I guess you highlighted two areas, the stuff coming out of the pre-need funeral backlog into add-need was a little bit of an impact, and then on the cemetery perpetual care, can you quantify those and will that have a lingering impact in the -- at least in the first-half and other markets rebounded somewhat, but just trying to understand whether that'll be an ongoing impact in the first-half?
Tom Ryan: Yes. I think, if you look at the first one you talked about, which was the funeral trust income comparisons, my recollection is it had a minor dampening effect on the fourth quarter to the tune of, let's say, $15 to $20 on average, if I remember it correctly. So it wasn't anything significant, and again, as time goes on, the market rebounds, those types of things will equalize. Eric will know the numbers on the other, but I'll tell you on the -- thing to understand about ECF, which I don't know that everybody understands as well, a lot of the ability to draw earnings is dictated by state laws. So you may have certain states that allow you to take "Excess Income" as defined by that certain state, and you can do it in certain period. So as an example, if -- and you would expect this to be the case, if you lived at your excess income at the end of any certain year and you could withdraw that income that is an opportunity to create cash flow and create income. Again, this is not in every state, it's just in certain states, because when you think about the fourth quarter because it died down so bad and because the year 2018 was a negative performance year, you probably aren't going to have as much excess income as you would in another year. Now I don't want to tell you that we can only take it out of year-end, I'm just telling you that there are certain days and different states were strict when you can take that out. Eric, do you have any color on…
Eric Tanzberger: Remember that the internal care fund is split between really two separate portfolios. One is a total return portfolio, A.J., which we've been moving to over the last few years. And what as Tom has mentioned it is when you set which you can take out of their return portfolio under the state laws in 2019, it's predicated on '18, and maybe a couple of other prior years. So when December got impacted that's really set in stone for us in terms of '19's eternal care fund distributions, which means that the amount that's in our forecast is probably $2 million to $3 million less in 2019 than 2018. The flipside to that are the other trust funds such as prearrange funeral and cemetery merchandise and service trust that largely rebounded in January and made up those losses. So we do not have any type of detrimental impact built into our model that would affect funeral sales as average or the cemetery sales average during 2019 as a result of that rebound.
A.J. Rice: Okay. Then maybe last question, just to ask you about acquisition pipeline. I know you had a very strong year in '18. '19, it sounds like you're sort of assuming a reversion to the $75 million to $100 million. Is that just conservatism? I mean, what's a piebald look like, is there prospects for another outperformance year in 2019 on acquisitions?
Tom Ryan: Yes. A.J., I think we certainly didn't mean to dampen expectations. It's just like we say every year to get to the high-end of that range. A lot of -- the deals needs to fall your way. So, I think that we're still seeing a very robust pipeline, which again the visibility probably goes out about 9 to 12 months. And so, we're optimistic about our opportunities for this year. And again, depending on few of these things and how they fall, we could end up at the high-end, we could end up in the mid-range, but we'll do them, we'll do them at the right returns for our shareholders, and we're excited about the pipeline, we'll continue to do it. The other thing I just pointed to is we're seeing more opportunities for new bills than you saw a pretty decent,I realize it's not a huge amount of money, but quite a significant increase in the amount of money that we're spending to build new locations in the right place with the right type of facilities and the amenities that our customers want. So, we're excited about both of those channels that we've reported.
A.J. Rice: Okay. Thanks a lot.
Tom Ryan: Thanks, A.J.
Operator: Our following question comes from Joanne from Bank of America Merrill Lynch.
Joanna Gajuk: Good morning. Thanks for taking the question. So, in terms of the guidance, I appreciate the comments on the cash flow. So in terms of the guidance, so I appreciate the comments on the cash flow. So in essence right away, which I think about it is that EBITDA will grow you know to 4%, 5% and then operating cash flow, excluding taxes and sort of one-time in nature of $20 million benefit to operating cash flows, excluding those two things would kind of grow in that 4% to 5% range, right. Is that the way to think about it?
Eric Tanzberger: I think that's right. The only thing I would just caution a little bit, Joanna, and this kind of splitting hairs, but we talk about growing the operating profit at 4% to 6% and use the term EBITDA, probably depreciation is flat, you're not going to grow it right on the add back. So I just back to that energy, you do your math.
Joanna Gajuk: Okay.
Eric Tanzberger: That's probably at the lower end of that range.
Tom Ryan: Yes. I'd say EBITDA is more of a 3% to 5% grower at midpoint. And then you know that 4% to 6% is also our per share number, if you remember our 8% to 12% break down and part of that -- part of that is the reduction in shares helps that as well.
Joanna Gajuk: Right. No, I was trying to get understanding of you know that EPS guidance kind of talking about you know 8% of the midpoint, but I guess adjusting for the tax is 11%, but then the operating cash flow growth, I guess it's much lower, but there's a couple of things that make the comps -- comps much more difficult, so just stripping it out. I'm just thinking that sort of the operating fair point, operating earnings growing that mid-single digits and in operating cash, so excluding taxes and this one-time benefits also growing in the same range, but obviously, the reporting operating cash is going to be down year-over-year, right. But then within that operating earnings kind of outlook, so it sounds like Q1 income is probably going to be down year-over-year in Q1, so that we imply sort of you know very robust growth, a double-digit growth in the rest of the year to get to that you know at single digit, call it a low single to mid digit single digit growth for the year. So what's driving that and how should we think about the progression? I know you -- I guess you've tried to flatten the cemetery production I guess materializing. So, is that pretty much Q4 or is there something that is going to be benefiting Q2 and Q3?
Tom Ryan: Yes. I think it will have - a couple of ways to think about it. Let's start with funeral volumes. We - if you go back to look at 2018 we had a very impactful flu season. So the volume in January was up 10%. The volume in February was up you know call it 2.5%, 3%. And the volume in March started to tick down 3%. So, we started off the month with 10% up and you ended up a year that's up 0.5%. So, again, you can get some really wild swings in these volumes. So, now if you look at where we are today you know we expensed to January that was down about 10% in volume. So we're back to 2017 numbers if it makes any sense. So, as we think about the rest of the year you say, I start off with this really bad you know beginning and what experience has told us is you build that back across the year. So as you think about the first quarter, think of it being down you know potentially history is right. Yes call it 4% or 5% down in the first quarter and you would work your way back to close to even by the end of the year. So funeral would have a very tilted year-over-year comparison, where margin should be a lot better in the last three quarter and the first quarter. The second thing I factor in is costs. As we think about costs and we've got every year we do, we tightened our belts at cost initiatives. I would tell you that the biggest been a factor cost initiatives will be in the middle and latter part of the year. So again, I'm pointing you towards the first quarter that it's a challenge and the rest you're getting better, that's going to help that you call double digit growth margin in the back nine months. And then finally cemetery, I think cemetery is where we think we're going to go production pretty consistently throughout the year. And so, the thing we don't expect about cemetery's profit is that where are going to construct these things, because you may be selling things that are unconstructed. Well, most of the completed construction occurs in the back half of the year. So again, I think in our model, the biggest chunk of political structure is going to be in the fourth quarter. So, that's really what's driving is, I call it a softer funeral environment in the first quarter, the backend way to cemetery because of construction and a little bit of this outcall the expense management fees. But that again is a smaller piece of them all. And that's really what's driving in the first quarter underperformance followed by the impressive later nine month.
Joanna Gajuk: And is there something to be said about, I guess the Q4 of this year or I mean 2018, I'm sorry, that was impacted by the sales force, I guess restructuring. So, is there some sort of flow through in the beginning of 2019 from the changes that were occurring of late, I guess in 2018?
Tom Ryan: Yes, Joanna, I think if you take SCI Direct on its own, and again it's just not as material as the other pieces of what sales are mentioning, we would expect that the first quarter would be a little turbulent with the onboarding, because people are focused on getting people benefits online and so there's a lot of distractions. You're probably not doing a lot of hiring. And our belief is and we're already experiencing it as this is getting better. So, we feel really good and you're right as we get to the last quarter of the year I'd expect a pretty nice bump in our production levels particularly as you look at SCI drive.
Joanna Gajuk: All right. And if I may last one on the guidance, so still obviously on the EPS the range I guess in terms of the growth, yearly growth is quite wide from you know going on a 3% to 13%. So I appreciate. I guess you've commented that I guess if you execute better or is that was the high end of your acquisitions that gets you to the higher end, so the lower end how should we think about that, what kind of what is backed and for the lower end of the EPS growth?
Eric Tanzberger: Well, the 3% to 30% assumes I remember that it's a 8% growth at the midpoint of the $1.93. Of course, what we've been saying this several times this morning is a lot of that is $0.05 to $0.06 headwind in earnings per share related to the taxes gone from 23% to 25% effective tax rate. Ultimately, though the operation should grow at the upper end as we've just described it. So your question is what gets you there. I think what gets you there is that funeral volumes rebound towards the back half of the year like Tom has just described it and gets to a point and has a similar inverse effect as last year did when we were down -- when we were up 10%, but ended the year at 0.5%. As we're starting the year down 10%, we expect to get more to the same level in the end of the year. I think also is that it assumes that cemetery pre-need growth continues but to get to the higher end of those ranges, you'll be more in the mid to high-single digits or maybe get to this high-single digits percentage growth to be able to get to the high end. The low end is pretty easy, some of that stuff doesn't happen and the volume doesn't come back as we expect to the back half the year or production -- or cemetery production stays more in the middle or low end. That's what really predicates the low end of the - of the range, but we're very comfortable you know with the - with the -- what we described to you already of being in that 8% to 12% and again taking into the fact the tax rate because the operations are performed in our opinion expect to perform at the upper end of that.
Joanna Gajuk: I'll go back to the queue. Thank you so much for that.
Tom Ryan: Thanks, Joanna.
Operator: Our next question comes from Scott Schneeberger from Oppenheimer.
Scott Schneeberger: Thanks. Good morning. I guess three questions. First one just you talked about the organic growth for 2019 guidance being 4% to 6%. And you just covered a little bit in the last question. But what are you expecting the greater in pre-need cemetery or greater in -- pre-need funeral? I assume both in that range but please elaborate a little bit more on the pre-need expectations. Thanks.
Tom Ryan: Sure, Scott. I think we would expect them to be kind of in equivalent range I think we're guiding both to the mid-single digit range which again you can probably put your brackets around that have you like. We tend just call that 4% to 6%. Could we be above that? Sure. Could we be below it? Sure. But I think we're confident that both of those should achieve that. As the differences we've done 4% to 6% in the cemetery for a really long time. And it's not that surprising because again I think you got a product mix differential where we're putting in you know better inventories that we can charge more money for. And on the funeral side it's always been a little more challenging. We've guided to the low single digit. We were up in the mid because we believe Beacon it is very effective and our ability to increase particularly the contract count, the number of future customers that we think is grabbing market share as well. So, I'd say that's the equalizer that makes funeral the same range of cemetery this year.
Scott Schneeberger: Hi, thanks. And then my second question is, it's good segue, so, Beacon into funeral, obviously a great trend, second and third quarter. We had the hick-up in fourth quarter here, still easy comps in the first-half of the year. I'm just kind of curious how you look at, you said, still only 75% penetrated. How much use are the sales folks. How much are they actually using it? What do you use -- is there are a lot more Beacon-driven growth there, is that's going to be the catalyst or the primary driver in the funeral pre-need?
Tom Ryan: Yes. Scott. I think you hit on the head. Yes. Let me explain that. We're in 75% of the market. If my memory serves me, about 50% of our production was up at Beacon at your end. So, it gives you an idea that says when we launch it to a market, it's more complicated. Everybody probably thinks you know we announced weekend in 100% compliance and everybody is using Beacon, a big training exercise. There's also complications, as you get into an individual funeral home versus let's say a combination facility in a state is again member state laws driving a lot of particulars around how we present the contract, how we price it. So, a lot of times we may launch in a stay, I mean California is a great example. We launched in California, but we're not a 100% up and running in California. So, I just don't want anybody to take away that this is some automatic then we get into you know as you roll into a state, you might find a bug in the software that we need to take and go back. So it's our belief that even within the 75% market, if we didn't go to another market, we've got big lift, you know as we move into 2019. So we want to do it right, because I think the other things got you know do you understand we've talked about this is getting a buy and you're having a lot of people this year, you're trying to train and get them bought into why is this great. Well, the results are tremendous. I mean, so we can put counters in front of them and say, "Look, how much more productive," "Look, how much more money they're making." That's the best thing in the world. The worst thing in the world is roll it out and somebody go, "This doesn't work, I'm going to put it aside and pull out my manual contract, because I have a customer in front of me, and I don't want him to be embarrassed." So, because it's customer-facing, we're making sure that the bugs are worked out, it's right, the pricing is correct. The worst thing in the world is that our counselors say, "I can't use the software, it's too cumbersome, it's too challenging." So I promise you this, we're going to do it right. It's going to be very impactful I believe continuing in the funeral and it's our belief while it's going to be harder and a little more complicated, it's going to have an impact on cemetery as well, but probably in 2020.
Scott Schneeberger: All right, thanks, that's helpful. Now my last question is on first quarter specifically, I don't know if you want to actually get too much in the weeds with providing guidance, but $0.47 last year EPS, it feels like you could be significantly below that in 2019 and obviously, you've talked about the progression of the year. A lot of puts and takes there, but and maybe you want to get into some of the - some of the particularly the cost items, but you know might we be below a $0.40 number in the first quarter entering the year. I just want to get a sense of how we should be modeling this case and as we progress back.
Tom Ryan: Yes, Scott. Again, we don't give quarterly guidance, so I hesitate to get too specific. But I think you're thinking of with volumes down, let's pretend they're down 4% or 5% from the quarter, which is historically the inverse of 2018. And you model that through and say okay, and a variable cost rate. How much of that drops to bottom line. That impact, you could probably back out of $0.47. I think it probably would get you close to the number that you quoted. So, that's not an unfair assumption. But again, I think there're scenarios whereas a little bit better than 40, and I guess, there's scenario were a little bit worse. But that's ballpark of what you probably should expect, and then again kind of ramping up in the back half of the year, like Joanna mentioned in a double-digit types of earnings per share growth rates, particularly in the back half of the year.
Scott Schneeberger: Thanks. I appreciate that color.
Tom Ryan: Thanks, Scott. Thank you.
Operator: The following question comes from John Ransom from Raymond James.
John Ransom: Hey, good morning. Just going back to the cremation issue, when you sell a cremation to your direct channel versus through your funeral channel, what is the difference in ASP? And did I hear right to say that the direct channel is growing faster than the traditional funeral channel?
Tom Ryan: Yes. I mean, the direct channel, John, first of all on the pricing differential, remember, we sell a pre-need to our non-funeral home. So, we're probably averaging of around let's call it $2,200 for a round sake. And within that spend there's a way for home protection an insurance product that we might sell that also could include in earn. So when you look at the service itself it might be closer to $1,100 or $1,200, that's going to flow through your income statement when somebody is [indiscernible] because we've pre-sold the other products and delivered them. When you think about our core channel, the average spend of a cremation consumer is probably closer to $3,700 to $3,800. Now what I was describing, John, before is we're getting better at going what I call the price sensitivity, because that $3,700 is probably will end up, if people going to spend a $3,700. So it's more direct cremation consumer might average $2,500 to $2,600. I'll say that I think we're competing more specifically paid than we have historically for that consumer via the Internet, via price changes that we've made at certain locations where we believe it was opportunistic. And again, I think just a general awareness of being a more competitor. So that's the way I think about cremation, or the way we think about cremation and we think we're growing through both channels today.
John Ransom: So what you're saying, just to make some clear that when the event actually happens on the direct channel the incremental revenue is only $1,100, you've already recognized some other revenue from an insurance [indiscernible] probably sold?
Tom Ryan: That is correct, if you're coming -- will end up what's coming out of pre-need backlog, right we're delivering somebody we previously spook, we also have add new business and that's probably a little bit higher than the average that we're out there. So, it's probably close. So, you're exactly right. The lending average, channel of servicing a funeral is probably about $1,100, $1,200.
John Ransom: Okay. Just kind of switching gears, if you look at the capital markets effect on your P&L, not the cash flow from your trust and that's not always get to you P&L, but Eric, what was the bad guy in the fourth quarter from weak capital markets from EBITDA standpoint versus what do you think would be the offsetting good guy in the first quarter assuming the market hold knock on wood where they are now? How do we think about that?
Eric Tanzberger: I mean, I think for the -- if I think ultimately the effect of the fourth quarter in terms of the markets when you think of prearranged funeral turn in net need and cemetery being delivered, the markets really got hammered in December. And so, it really didn't have a very immaterial effect at the end of the day to the financials in the fourth quarter. And of course, as I said before when you go into 2019, in terms of that same average, coming out of backlog, those markets have generally rebounded. So, we're not really predicting much of an effect, but we were describing earlier was an internal care fund situation that ultimately had a lot to do with some withdrawals that we had last year and that was probably a $3 million to $4 million issue, if you use the word "Bad guy," but it was a $3 million to $4 million detriment quarter-over-quarter, and that hit cemetery revenues and cash flows directly into the fourth quarter.
John Ransom: Okay.
Tom Ryan: John, I would just add [technical difficulty] the volatility of what's happened in this quarter versus what happened last quarter under this calendar based approach, back to 2018 for a minute, January was a rocket ship, Mark has got presence in February. So as I think about it, we can continue strong for the quarter, and you might have an actual nice comparison is to about the first quarter 2019 versus first quarter 2018, we could use a good comparison.
Eric Tanzberger: As it relates to bridge coming out of the backlog, that's right.
John Ransom: They're kind of in that $3 million to $4 million range, something like that?
Tom Ryan: Yes, for cemetery, yes.
John Ransom: Yes. Okay. And then lastly, I'm curious about the restructuring of your sales force. I mean, we've certainly seen other companies have kind of protracted material downturns when they restructure comp, and what have you -- what gives you the confidence that these guys are back in the saddle and that this is just a blip and not something more structural?
Tom Ryan: I think one because we're getting feedback directly from the leadership of SCI Direct. I think it's on quite a bit better, and I think of ultimately, John, this is better for everybody because these sales counselors now by being employees enjoy some of the benefits of being employee of SCI from insurance to retirement opportunities whereas before they didn't have those. So, I think we think in the end, it's a better proposition. It's just turmoil while it's happening because there's a lot of uncertainty. And like I said, you've got managers that are out there dealing with the existing key employees versus let's say hired and particularly in this one, it's about finding counselors to sell; and we're not doing that a lot of that while you're onboarding.
John Ransom: So, do you think ultimately you have a lower turnover? So that's -- so that was our main goals?
Tom Ryan: I do. I believe that will occur. Yes.
John Ransom: Yes. Okay. Thank you. That's it from me.
Tom Ryan: Thanks, John.
Eric Tanzberger: Thanks.
Operator: Following question comes from Duncan Brown from Wells Fargo.
Duncan Brown: Hey, good morning. Most of my questions have been answered, but just wanted to follow-up, trying to get a better sense on what's going on in funeral core revenue service down 1.4% and it sounds like a trust fund impact was a little bit, but the vast majority of it was the cremation change. Is that correct and maybe could you size that?
Tom Ryan: Yes. So if I recall correctly at the customer level before you take away mix for the quarter, we saw 70 basis points of improved, so think of it as we got inflationary pricing at 70 basis points, which isn't exciting, but positive. And now I go back and I say 40 basis points of that was currency believe it or not, because again, Canadian currency hurts us and you can correlate that with the oil market, right. Oil prices crash in the fourth quarter, Canadian currency crashes. So for the year, Canada is not a big deal, but for the quarter, it's a pretty big deal. There's probably 20 basis points of trust income difference. So now I've got 60 basis points offsetting 70 basis points. So to get to my 150 bps problem, I got a 160 basis point decrease, because of the cremation mix change if that makes sense. So by far the biggest is the cremation mix change, it was all about markets rebounding in the first quarter, I think currency is probably not going to be as big of an issue as we think about the year right now. So the big thing to think about is that interest income is just a minor part, but it will probably always be big you know to really think about as always a cremation mix change and how big it is year-over-year.
Duncan Brown: That's perfect. Thanks for sizing that.
Operator: And we have a follow-up from Joanna from Bank of America Merrill Lynch.
Joanna Gajuk: If I may just squeeze in on the Beacon discussion that was happening a while ago or so, is there some sort of stats you can give us in terms of the performance in those markets where the utilization of the beacon system is getting better traction in terms of, I don't know, market share or some stats on the pre-need sales or anything else you can give us that would be helpful? Thank you.
Tom Ryan: Sure, Joanna. I don't have any in my fingertips, we're happy to try to share more of that, but I'd tell you this, like I said, market share is hard to define yet because it's such a new product, and again this view is on a premium basis, and we don't have good market share data for pre-need. But I will tell you that within places where we've implemented this, and maybe the great example was, we first launched this I think in, you know, at the second or third quarters, we saw a significant, if you put top markets against each other, I want to say Steve it was 400 basis points or 500 basis points differential, Gerry is that right where as far as growth rates within the markets where we've implemented it versus not implemented it, 500. So, Joanna, 500 basis points to take it, I'd say typical market and forgive me for rounding, if we're going to 2% by putting beacon in place, we're getting 7% growth, is the types of things that we saw. And again, those were in every market is going to be a little bit different, what's your take-up rate, how your sales force, you know pricing change as far as technology in certain areas is more than others. So there's a lot of factors, but generally that's the kind of difference. And quite honestly what's really impressive is most of it's - is the number of contracts. The average sales, you know, pretty normal as we think about it. So we're really seeing -- we're getting in front of more people, we're capturing more market share, and that's what's exciting to me is that eventually turns to add new revenue that will benefit the company.
Joanna Gajuk: Great. Thank you.
Tom Ryan: You're welcome.
Operator: I would now turn the call back over to the SCI management team.
Debbie Young: Thank you so much everybody for being on the call. We look forward to talking to you for our first quarter earnings at the end of April. Thanks so much.
Operator: Thank you. Ladies and gentlemen, this concludes today's conference. Thank you for participating. You may now disconnect.